Operator: Good day, and welcome to the Reinsurance Group of America Second Quarter 2022 Results Conference Call. Today's call is being recorded. At this time, I would like to introduce Mr. Todd Larson, Senior Executive Vice President and Chief Financial Officer; and Ms. Anna Manning, President and Chief Executive Officer. Please go ahead, Mr. Larson.
Todd Larson: Thank you. Good morning, and welcome to RGA's second quarter 2022 conference call. I am joined on the call this morning with Anna Manning, RGA's President and Chief Executive Officer; Leslie Barbi, our Chief Investment Officer; Jonathan Porter, our Chief Risk Officer; and Jeff Hopson, the Head of our Investor Relations. Now a quick reminder about forward looking information and GAAP financial measures. Some of our comments or answers to your questions may contain forward-statements. Actual results could differ materially from expected results. Please refer to the earnings release we issued yesterday for important factors that could cause actual results to differ materially from expected results. Additionally, during the course of this call, information we provide may include non-GAAP financial measures. Please see our earnings release, earnings presentation, quarterly financial supplement and website for discussion of these terms and recommendations to GAAP measures. And now we'll turn the call over to her Anna Manning for her comments.
Anna Manning: Good morning, and thank you for joining our call this morning. Last night we reported adjusted operating earnings per share of $5.78. This was a record level of earnings for us. And importantly, it included strong contributions for many of our business segments. In addition, growth in organic new business was good. And we had another active quarter for capital deployment into in-force and other transactions. We also saw COVID claims come down substantially, and our underlying non-COVID mortality was favorable in most markets. And while uncertainty remained, we expect future COVID impacts to continue to be more limited, given the protection provided by vaccinations and prior infections, and by the continued development of new vaccines and treatments. I think this quarter points too many positive signs of the strength of our underlying business, the momentum on new business and the continuing attractive pipeline of growth opportunities. Turning to some further highlights in the quarter, the US and Latin America Traditional business had an excellent quarter, as individual mortality experience was very favorable, with both claim frequency and severity better than expected, and premium growth reflected solid underlying demand. The Asia Traditional business also has an excellent quarter with favorable underwriting experience across the region. And I'm very pleased with the range of new business activities, notably product development, and other client partnership initiatives that will allow us to continue to deliver profitable growth into the future. Our global financial solutions business also delivered another strong quarter across all their business segments and geographies. The Asia business saw measurable GFS earnings growth, reflecting our success over the past couple of years in deploying meaningful amounts of capital into in-force block transactions. Further, our capital deployment of $121 million into in-force and other transactions puts us roughly on pace to match last year's record capital deployment levels. Our pipelines remain active and broad based across risks and geographies, and momentum was good as we stand here halfway through the year. Our reported premium growth was 4.3% and 8.1% on a constant FX basis, and we continue to see favorable dynamics for insurance products in many of our traditional markets, and strong demand from clients for our insurance risk and capital reinsurance solutions. Our investment results were favorable overall, reflecting the benefit of higher new money yields, and its sustained higher yields would become a meaningful benefit going forward. I'm also pleased to report that we increased our quarterly dividend by nearly 10%, reflecting our confidence in the strength and sustainability of RGAâs underlying earnings. We have a great franchise and are very well positioned around the world. We've demonstrated that we can successfully manage through periods of elevated uncertainty and change, which makes me confident in our ability to continue to create substantial long-term value for our investors. Thank you for your interest in RGA, and I'll hand it over to Todd to review the financial results.
Todd Larson: Thanks Anna. RGA reported pretax adjusted operating income of $505 million for the quarter and adjusted operating earnings per share of $5.78 which includes a negative COVID-19 impact of $0.12 per share and a foreign currency headwind of $0.16 per share. We consider this to be a very strong quarter, a record one as Anna has already mentioned. The effective tax rate for the quarter was 22.5% just below the expected range of 23% to 24%. Turning to the segment results listed on slide 6 and 7 of our earnings presentation. Reported premiums were up 4.3%. After adjusting for the adverse foreign currency impact of $190 million, premiums were up 8.1%, because of the significant currency in the quarter, I wanted to give you a region by region summary. Canada Traditional reported a premium increase of 4.3% and in constant currency increased 8.2%. EMEA Traditional reported a decrease of 1.4% -- however, in constant currency premiums increased 9%. Asia Pacific Traditional reported at 3.9% increase in premiums and in constant currency were up 10.2%. We are pleased to see the good momentum in our business. Now turning to the segment earnings results. The US and Latin America Traditional segment results were very strong, reflecting both favorable non-COVID and COVID individual mortality experience. Jonathan will provide further details in a few minutes. Variable investment income was in line with expectations although below the recent run rate. The US individual health business had favorable experience overall. Our group business result was slightly below our expectations, reflecting unfavorable morbidity claim experience offset by positive development on the COVID IBNR. The US asset-intensive business results -- favorable overall experience. The US Capitol solutions business reported very strong results due to its 3D recapture fee of approximately $49 million. The Canada Traditional segment results reflected unfavorable individual life mortality experience due to the quarterly volatility from an above average level of large claims and the impact of COVID-19 claim cost of $1 million. The Canada Financial Solutions segment results were in line with expectations. In the Europe, Middle East and Africa, the traditional business results reflected unfavorable UK mortality experience, partially offset by favorable results in other markets. COVID-19 claim costs were $5 million a quarter. And the US financial solutions had a good quarter reflecting favorable longevity experience. Turning to our Asia Pacific Traditional business. Asia results reflected favorable underwriting experience across the region and absorb COVID-19 claim cost of $3 million. Australia reported a small loss for the quarter due to $4 million of COVID-19 claim costs. The Asia Pacific Financial Solutions business results were very strong, primarily reflecting business growth and favorable investment yields, partially offset by $4 million of COVID-19 claim costs. The corporate and other segment reported pretax adjusted operating loss of $5 million better than our quarterly average run rate due to higher net investment income, including the positive impact from limited partnership investments. Moving on to investments on slides 8 through 10 in our earnings presentation. The non-spread Portfolio yield for the quarter was 4.63% reflecting variable investment income that was in line with expectations as well as a positive impact from higher -- rates that we have achieved on the first two quarters. And then some benefit to existing floating rate securities. For non-spread business our new money rate rose to 5.06% in the quarter, compared to 3.81% in the first quarter. The new money rate benefited from an increase in both risk free rates and public credit spreads as well as private investment nation activity. Additionally, in the quarter credit and impairments were modest and totaled $16 million. We believe the portfolio is well positioned as we move through uncertain economic environment. As shown on slides 11 and 12 of our earnings presentation, our capital position remains strong, and we ended the quarter with excess capital of approximately $1 billion. We deployed $121 million into in-force and other transactions $49 million to shareholders through dividends. And as Anna mentioned, we increase the quarterly dividend by nearly 10%. I will now turn the call over to Jonathan Porter, our Chief Risk Officer to provide some additional comments.
Jonathan Porter: Thanks, Todd. COVID-19 general population deaths were down this quarter in all of our key markets. Compared to the first quarter reported general population deaths were down almost 80% in the US, 40% in Canada and 10% in the UK. Our claims experience was consistent with these population trends as our estimated COVID-19 claim costs are at their lowest level of the pandemic. As shown on slide 13, US COVID-19 general population deaths were approximately 32,000 in the quarter, the lowest quarterly level since the start of the pandemic. And although CDC reporting isn't yet complete, there was a negligible level of excess non COVID-19 mortality in the US general population in Q2. Finally, we have now seen three consecutive quarters of a declining proportion of general population deaths at ages below 65, ages where there is more life insurance exposure. Turning to our US individual mortality results, non COVID-19 experience was favorable due to both a lower frequency of claims and a lower average claim size. And COVID-19 mortality experience was a net positive in the quarter due to $40 million of favorable development of prior period IBNR. Excluding the benefit of this IBNR adjustment, COVID-19 claim costs were approximately $9 million per 10,000 general population deaths below the low end of our expected range. We have now seen a decline in our COVID-19 claim cost per 10,000 general population deaths in the US for three consecutive quarters reflective of the trend in the lower proportion of general population deaths in working ages. To the extent that this trend continues, we would expect to be at the lower end of our range in future quarters. Total COVID-19 claim costs on all other business outside of US individual mortality was modest, and is broken out by reporting segment on slide 6. We are very encouraged by the favorable trends in COVID-19 claim costs that we have seen over the past several quarters. Although, there is still uncertainty on how the pandemic will evolve, we believe that future impacts will continue to be manageable. Evidence suggests that COVID-19 has moved into an endemic phase and will continue to impact future mortality, although to a much lesser extent than seen over the past two and a half years. Population immunity is higher due to vaccinations and significant levels of prior infection, and new vaccines and treatments will continue to improve over time. I'll now hand it back to Todd.
Todd Larson: Thanks Jonathan. I'd like to pivot the discussion of the Long Duration Targeted Improvements or LDTI. As we move closer to the January 1, 2023 effective Date, I want to discuss some of the high level impacts of the new financial reporting standard. Please note that the information we've disclosed are estimates and could differ upon final adoption. LDTI has many positive features relative to current US GAAP. And we believe the financial community will come to appreciate the new standard over time. We also believe it will provide further insight into the performance and value of RGAâs long-term business. There are five key points that are important to emphasize. First, the economics of RGA business remain unchanged. Second, reserves will reflect best estimate assumptions, which will be updated on a regular basis. Third, at transition, reserves can only be increased. Four, the transition adjustment to retained earnings will lead to higher future income. And finally, earnings volatility from quarterly claims fluctuations will be reduced. Now moving to some of the specific impacts to the balance sheet, as shown on slide 18 of our earnings presentation, we estimate a decrease to retained earnings at December 31, 2021 of $500 million to $800 million. There are a few elements in this adjustment. First, LDTI requires an assessment of profitability at a lower level of granularity and requires the recognition of loss cohorts or not recognizing the gain position in other cohorts. It is important to note that we have a limited number of loss recognition cohorts and have substantial margins in the rest of our business that we expect will produce material future earnings. A second component to this adjustment is the elimination of negative reserves on cohorts which have had very strong performance. It is primarily relates to our longevity business. And it is required that these reserves be adjusted to zero at transition. The decrease in retained earnings from eliminating the negative reserves of transition will flow into future earnings. And third, a small portion of the adjustment relates to market risk benefits. Additionally, there are also adjustments to AOCI from unlocking reserve discount rates. Currently, reserve discount rates are generally locked in at issue. Whereas under LDTI, reserve discount rates will be reflective of current interest rates and AOCI will be adjusted accordingly. We estimate that this adjustment will decrease AOCI $3.2 billion to $5.2 billion as of December 31, 2021. The new reserve liability component of AOCI, when combined with the existing unrealized gain or loss investment component, will result in AOCI that is both smaller and less volatile Moving to earnings emergence, under US GAAP claims are the main driver of our operating income volatility. However, under LDTI, earnings volatility from claims variability will be significantly muted compared to current financial reporting. Thus, we expect our income under LDTI to be less volatile, absent any reserve assumption changes. Additionally, we expect to recognize slightly more earnings in early years on new business due to the removal of the provision for adverse deviation and reserves. To conclude, we feel the new standard will provide better insight into RGAâs long-term performance and along with the new disclosures provide additional transparency to investors. Thank you for your interest in RGA. We will now open the call for question.
Operator:  We'll take our first question from Jimmy Bhullar with JPMorgan.
Jamminder Bhullar: Hey, good morning. I had a couple of questions. The first one is for Todd on buybacks. So you had bought back stock in the last quarter, but nothing this quarter. And I'm wondering if it has to do with just the uncertainty about COVID still lingering in certain parts of the world? Or is there something else like in terms of new business opportunities or otherwise? And how are you thinking about buybacks and under what conditions could you not do any buybacks for the rest of the year versus maybe do a or accelerate versus what you've done in the last few quarters?
Todd Larson: Yes. Hi, Jimmy. So it is shown on slide 12, in our presentation, and as we've discussed in the past, and we follow up, we view as very balanced approach to capital management over time, looking at deployment in the business opportunities and the transactions that we really like the shareholder dividend and also share buybacks. And we'll continue that approach in the future, which will include no share repurchases. Anna mentioned, we've got an active pipeline of transactions across various geographies. And having some dry powder in today's type environment will allow us to take advantage of potential new opportunities that are out there. But also again, we'll continue to view share repurchases as part of our overall balanced approach to capital management.
Jamminder Bhullar: Okay, and then maybe for Jonathan, or for Anna, there's been a lot of discussion on sort of the whole dynamic of pull forward of claims and whether that benefits your results in the next few years, versus maybe lingering effects of COVID and non-COVID. And people maybe ignoring screenings and stuff, which could cause worse mortality, once the pandemic ends in the next few years. Do you have any strong views on like, whether there's going to be a tailwind or headwind to your margins over the next few years because of the pandemic?
Jonathan Porter: Yes, thanks for the question. Jimmy, this is Jonathan. I'll talk specifically maybe about the couple of items that you mentioned. So as far as pull forward goes, we've talked about this in prior quarters, and we do expect to see some, it is difficult to directly identify, though, and hard to draw conclusions based on one quarter of results, like we've seen favorable results this quarter. One thing I will say is, though, that we did see that our experience in the US was notably favorable in the older ages, older attained ages, which is consistent with where we've seen higher pandemic deaths in the past. With respect to screening, and that potential impact and delayed diagnosis, we're monitoring that nothing material in our cause of death or and CDC data yet indicates that that's going to change materially. As we get further away from the period of the delay which is really back in the first year of the pandemic in 2020. I think it's also logical to assume that the screening process will be catching up and there'll be the further you are from that time period, the less likely that there'll be a material impact as well. So on balance I think it's, there's going to be pluses and minuses, like you say, but specifically the items that you noted. We're not seeing anything material at this point.
Jonathan Porter: Okay, and maybe just for Todd on the buyback point. I understand your comments on the pipeline. But is the pipeline stronger now than it was maybe two, three quarters ago because you did buyback a little bit of stock earlier this year.
Todd Larson: And again, share buybacks will continue to be part of our overall capital management. But we are seeing some, these potential opportunities, as I mentioned earlier across various geographies.
Operator: We'll take our next question from Erik Bass with Autonomous Research.
Erik Bass : Hi, thank you. In your LDTI disclosure, you show a decline in the retained earnings from the transition date to year end â20. Can you just talk about what's driving this? Is it restating 2021 earnings higher or movements and interest rates in capital markets or something else? And should we expect the retain earnings impact to be smaller by the time of adoption at the end of 2022.
Todd Larson: Yes, part of the reason for the decrease in the transition adjustment, if you look at January 1, 2021, compared to the end of the year, in 2021. That decrease in the retained earnings adjustment that is a part of that is due to higher earnings under LDTI than under current GAAP. And that's the way the LDTI works, it smooths out some of the elevated claims related to COVID.
Erik Bass : Got it. So just two quick follow up there. So one if that were to be the case again, then I guess it would go down and by the end of 2022. But then also, I think based on your LDTI comments, you are saying DAC amortizations, not changing materially. And the earnings for blocks was negative reserves should go up prospectively, I guess should we conclude that overall, your earnings are likely to be higher under the new framework.
Todd Larson: Yes, we'll see how the year plays out and how the calculations work. And also we'll be looking at the year in 2022 balance sheet and looking at the various assumptions that go into the reserve calculations.
Operator: We'll take our next question from John Barnidge with Piper Sandler.
John Barnidge: Thank you very much. If we think back maybe last quarter, a quarter ago, you talked about as you got more comfortable with the health landscape possibly bringing in excess capital below $1 billion, given the results are meaningfully better health landscape remains improved. How should we think about access capital coming down further? And maybe within the framework, how you view annual internal excess capital generation? Thank you.
Todd Larson: Yes, so we would be comfortable going down below the current level of excess capital. And as we've talked about in the past, as well, we also continue to look at alternative forms of capital to make sure we can remain as flexible as possible as well. And we did the retro session the middle part of last year, we did a surplus note towards the end of the year. And we continue to look at other forms of efficient alternative capital. So yes, we would be willing to go down below the $1 billion level and given our comfort that we are able to generate capital ongoing through our global platform ex the impacts of COVID.
John Barnidge: Thank you, then my follow up on the investment income. Can you maybe size the width from floaters in the quarter where you maybe see that projecting? And then do you have an early look maybe into how you think variable investment income may perform in the third quarter? Thank you for the opportunity ask question.
Todd Larson: Leslie, would you like to take that one?
Leslie Barbi: Sure. Let me jump in on that. So on the first part of your question. So the floating rate, additional impact in the quarter on the non-spread portion was roughly $3.5 on consolidated, it was more in the ballpark of $7.5 with risk fact here variable investment income question and the go forward. So as you know, we've been in a robust period this quarter was closer to our expectations. But we've just come out of very robust real estate environment. So we expect some less activity in that going forward. And also, as you know, there's been downward pressure on the equity markets year-to-date, although some bounce back particularly in the things like Russell 2000, this quarter, but nonetheless, I would expect some downward pressure on unrealized. So I think that the platform long term should continue to deliver at the current level, but I do expect some downward pressure in the second half of the year from the factors that mentioned.
Operator: We will move on to our next question from Ryan Krueger with KBW.
Ryan Krueger: Hi, thanks. Good morning. And first follow up on the last question on, can you talk about interest rates in general, maybe give us a sense of how much of a drag the low interest rate environment had been on the annual earnings and maybe how to think about the potential upside in total in the current environment?
Leslie Barbi: Itâs Leslie, if you'd like I'll take the go forward. If you look at what we might have expected from net investment income coming into this year, the kinds of levels that we had at year end, broadly, short rates, investment grade yields, all of that are about 200 higher. So if you think about that kind of magnitude, the next 12-months, I would expect something on the order of $70 million additional net investment income versus what we might have expected coming into the year.
Ryan Krueger: That's helpful. Is there any -- would that all dropped the bottom line? Or is there any offset in other areas?
Leslie Barbi: On that, that was a net, so if there's floating rate liabilities and other things that was factored into that estimate.
Ryan Krueger: Got it, thanks. And then back to LDTI. Can you I guess if you look at the retained earnings impact at yearend â21, can you give us a sense of the pieces the magnitude within that -- the impacts of -- the underperforming cohorts compared to negative reserves.
Todd Larson: Ys, so at the end of 2021, these are in rough order of magnitude, the market risk benefit is fairly small, I'd say maybe around 10% of the total of the negative reserves or in the roughly the neighborhood of maybe 40-ish percent, and then the remainder would be the underperforming cohorts.
Operator: And we move on to our next question from Tracy  with Barclays.
Unidentified Analyst : Good morning, I want to go back to the discussion of the dampening effect from claims on your LDTI reserve methodology. So I understand and I believe you alluded to it for the dampening effect to work, they'll need to be some margin falling retrospective unlocking. And without getting too specific on margin adequacy by line or cohort by cohort, if you could share any high level thoughts on where you're seeing a margin with respect to your assumptions versus your more recent emerging experience?
Todd Larson: So maybe one way to start by answering that maybe we can then maybe clarify the question is that the way that new financial reporting and reserving works, if you're, what's called your net premium ratio is above 100%. And that's the, we can refer to those as the underperforming blocks. The claim volatility will flow through to the bottom line, it's the cohorts with less, and that premium ratio is below 100%, where the elevated claims or the claims volatility will get muted and spread out over the longer period of time of and the life of the underlying policy and treaties.
Unidentified Analyst : Okay, that's helpful. You've also mentioned that COVID losses should become more limited, so I am wondering if you're considering a new threshold to call out unfavorable or favorable mortality in any given quarter as the $0.12 EPS impact from COVID held in comparison of your favorable mortality experience. So I guess my question for this quarter would be when you think your mortality would have been in the quarter backing out that favorable experience?
Jonathan Porter: Are you talking specifically about our US business? Just to clarify?
Unidentified Analyst : I mean, US is the big one that would be helpful.
Jonathan Porter: Okay. Yes. So I can give you some details. So for our US individual business, our estimate is that excluding the impacts of COVID that are favorable experience in the quarter would have been about $70 million favorable. And that's split roughly 50:50 between large claims and non-large claims experience. Basically, we saw a across the board improvement, whether you look by attained age or by you see from the prior quarter, so it's all quite favorable.
Operator: We'll take our next question from Tom Gallagher with Evercore ISI.
Tom Gallagher : Good morning, I'm just I assume you don't have very much SUL exposure just invited a prudential charge the other day, but just want to confirm that how should we think about whether you do have any exposure to that type of product structure?
Todd Larson: Hi, this is Todd. We historically have not reinsured the lapse guarantee component of those products. It's just something that we've never gotten comfortable with from a risk perspective. We do reinsure the mortality component on some of those products, but it's just the mortality component only. And change in lapses really don't have a material impact on that performance of that risk. So no, we don't wreck exposure.
Tom Gallagher : Okay. Thank you. Along with that change in lapsation, Pru mentioned they also changed their ultimate mortality assumptions, as part of the charge. Just curious how you're thinking about ultimate mortality? Is that something you're considering changing? Or overall thoughts on that?
Todd Larson: Yes, I guess, as far as long term mortality goes, we're quite bullish on long-term mortality improvement for a number of reasons related to medical advancements, genomics, other technology changes. So at this point we haven't made a change to our long-term expectation just like all our business we regularly review mortality and look at assumptions and emergence, but nothing right now.
Operator: We'll take our next question from Alex Scott with Goldman Sachs Group.
Alexander Scott: Hey, yes, the first one I had was just on the PFO growth, I mean, on a local currency basis, look pretty good. Can you just help us think through the different dynamics that are driving the top line? And what you foresee for the next year or two on top line growth across the geographies?
Anna Manning: Yes, so maybe. Go ahead, Todd. Iâll provide additional comments once you commented on the gross.
Todd Larson: Okay, Anna, thanks. We're still comfortable, very comfortable with our, what we've been talking about the past that mid to high single digit growth on the premium side. We think it continues to be achievable. We're really seen good opportunities in all of our different regions on do new business opportunities product development, and Asia, some higher production in the US. So really, it's really across the board that we're very pleased with the opportunities that we're seeing.
Anna Manning: Yes. If I could add some comments to that, and thank you for the question. When it started, and I think we've had this conversation in prior quarters, but there are large life insurance or maybe more broadly protection gaps in all our markets and they're sizable. And our life insurance clients. They want to offer protection to not only their existing consumers but new customers, and they want to offer good simple, affordable products. And many of our clients are also leaning towards these capital light models, so there we can play and are playing a big role because of, as Todd already mentioned, our product development, our risk transfer, capital efficient solutions, we're already doing that. We have many of the tools and capabilities that the clients need. And I see that continuing. And so for example, I've spoken about our underwriting expertise about the depth of it and our facultative businesses a big differentiator. If few reinsurance can and do provide that service. And it also has high barriers to entry. So when I look at that, and then I layer on our global footprint, where we have very strong local teams, they have extensive local market knowledge, they have strong local client relationships, that -- what that does is it enables us to quickly leverage good ideas between markets, and I've shared in the past, it's the new ideas or being early to new market opportunities that generally come with stronger margins, or they come with exclusive arrangements where you're not competing against others. And then further add on the very large longevity and pension risk opportunities around the globe, as well as other in-force block opportunities, again, good growth opportunities. And I would add, because we're talking about some framework changes, there's lots happening in capital models around the world and financial reporting models around the world, just about every country is in the midst of revising their frameworks. Now, we think that that will drive further interest in reinsurance both as a risk and efficient capital management tools, perhaps not immediately, as you would expect, the focus right now is on implementation. So people are busy betting down all these changes. But once that gets completed, then we would expect clients to turn to look for opportunities to optimize portfolios or rebalanced. That's clearly what we saw through solvency one and solvency two and RGA, we have a long history of creating new solutions that respond to the new environment. So you can expect us to continue to do that. So really, all of that to say, we see attractive growth opportunities in all parts of our business. And I'm confident that we'll continue to deliver on growth in this organization.
Alexander Scott: So I had this sort of high level question on margins. I mean, if I sort of look at just PFO growth and where it's come in through the pandemic, and how much higher PFO's are today, and I look back at the kind of PFO margins you were generating before the pandemic. I mean, is that the right way to think about the potential earnings power here? Can we get back to a sort of a full PFO margin the way that you were earning before? I mean, is there anything structurally different about the business? Certainly, we don't know what's going to happen with COVID. So we'll have to have our estimates around that. But in terms of like if we set COVID aside for a minute, can you return back to those levels? And if so, is the good amount of this earnings be here sustainable?
Anna Manning: Yes, I apologize. Todd, just want to start again.
Todd Larson: I was just going to comment if you look back to pre-pandemic levels, I think our pretax operating income was about $1.2 billion or so. And throughout the last couple of years throughout the pandemic, we've continued to layer on profitable new business deployed record levels of capital into the business. So we feel it, and as you mentioned, excluding any potential impacts of COVID. We still have that earnings power, and more going forward. And then also, given the increasing rate environment that should also be a tailwind as well.
Operator: We'll take our next question from Andrew Kligerman with CrÃ©dit Suisse.
Andrew Kligerman: Hey, good morning. We'd like to follow up on a few earlier questions. With the LDTI, $1 billion to $1.3 billion impact at transition on retained earnings. Could you possibly give a little color on what types of cohorts were impacted there by product and vintage?
Todd Larson: As you know, it is the lost cohorts where the net premium ratio is above 100%. And we're not giving a lot of detail. At this point, we'll provide more over time, but there's a few select pockets around the globe real clearly in the US the 99 to 04 block that we've talked about, and been pretty transparent about over the last several years as a component of that adjustment.
Andrew Kligerman: Thank you for Todd. And then Jonathan, there was some discussion a little earlier about non- COVID-19 mortality, and certainly this quarter, it looked like the frequency and severity was quite favorable. COVID-19, I think has been influencing non-COVID-19 mortality. The question is assuming COVID-19 dissipates, and hopefully it dissipates. What might be the lag period, in which we could still see this sort of COVID-19 influenced indirect mortality? How long do you think like, a year from now, you'll be in the clear, and we won't expect any more claims, given lack of medical checkups, and so forth.
Jonathan Porter: Yes, thanks for the question, Andrew, it's, to put a precise timeline is very challenging, as I'm sure you can appreciate. One thing that which was encouraging is when we saw negative excess mortality in the US this quarter. So, again, the CDC data isn't complete yet. But it looks like after backing out the impact of COVID, that mortality is actually slightly more favorable than what has been sort of a historic run rate based on the CDC reporting so that helps, I think, support our belief that most of the general population excess mortality that we've been seeing over the course of the pandemic is directly or indirectly related to COVID-19. And therefore we would expect a significant normalization as COVID-19 deaths come down. We did talk earlier about the potential for impacts of delayed diagnoses and things. And as I said before, I think the further we get away from that delayed period, the less of an impact that there will be. And, of course, there's other pluses and minuses as well in the mix that are not directly COVID related. But I'd say on balance again, we haven't seen anything sort of materially emerging yet on the delayed diagnosis item.
Todd Larson: And then, Andrew, if I could maybe circle back to your question on the LDTI. I comment in my opening comments that on day one reserves can only be increased, I just want to emphasize that the majority of our businesses do have very significant positive margins in those that significantly in excess of any of the retained earnings reserve adjustments we made at the transition date. Now we've got a very long-term business, a very large block, and we have substantial margins on the balance sheet that will be realized going forward.
Operator: We'll take our next question from Michael Ward with Citi.
Michael Ward: Hey, guys. Thanks for the question. Just thinking about the potential for COVID to morph into an endemic idea. And I guess I'm just wondering if you guys have like, a set number of years of experience or an idea of how long, you might, it might take you to form the view that you should adjust mortality assumptions, and incorporate those in new business or existing business.
Jonathan Porter: Yes, thanks for the question. This is Jonathan. Again, let me just start by reiterating that we're encouraged by the favorable trends we've seen over the last few quarters. And I think consistent with expert views, we do expect to see future variants and waves of infections and hospitalizations, but we also expect that mortality impacts will be much lower than what we've seen in the past. For the reasons I mentioned, in my prepared remarks. We look at a range of scenarios into the future. We are and we have been, and we will continue to reflect kind of the uncertainty and the expectation in our pricing. So we've definitely have made adjustments to prices for new business. We've made adjustments to our approach to underwriting to ensure that we're avoiding anti-selection risk relative to COVID and updating based on the newest medical information. So we definitely have been managing the business proactively over the last few years and will continue to do so as new data emerges that we need to take into account.
Michael Ward: Okay, maybe just following up on the existing business, have you been adjusting any pricing? Or is there a certain level of mortality or number of years that you might need to see before you do that?
Jonathan Porter: Yes, I mean, I think thinking of just broadly changes in mortality, any change that causes an impact to mortality, I mean, to the extent that we see that it is material and longer lasting we'll review those impacts on a client by client basis and take action using the options we have available in our in-force treaties. So this is a regular process that we go through quarterly, or at least probably, to take an assessment of that. And again, we have taken some actions in the past for various reasons, and we will continue to use that as an option in the future.
Operator: We'll now move on to our next question from Dan Bergman with Jefferies.
Daniel Bergman: Hi, thanks. Good morning. I guess with the block deal activity pretty elevated for a few quarters now. I wanted to see if there's any more color you can provide on the types of blocks you're acquiring whether by size, types of risks, geography, and also any update or change in the competitive environment among acquirers. And any differences there between what you're seeing on the asset intensive side versus more kind of core mortality blocks?
Anna Manning: Yes. Thanks for the question, Dan. Let me start with the deals in the second quarter. So we won deals in Asia on some savings products. And the deals there were in part driven by statutory relief needs of our clients. We also completed US asset-intensive deal on a deferred annuity block. What's worth noting here in the quarter is that some of these deals were done on an exclusive bases right from the start. And we're working on follow on transactions with some of the clients and potentially other clients. So working on similar deals. Now, no guarantees. So we are active. And I believe we're in good shape to continue to win deals. As mentioned, in my prepared remarks, we've gotten off to a good start so far this year, pretty much on pace with last year, which was a record year for us. In terms of competition, specifically on deals, remains very competitive, I would say particularly on the US asset-intensive deals, competition, our experiences, competition varies depending on the size of the deal and the underlying risks. So typically, we would have less competition on the larger and more complex risks. And then less competition, the more there's insurance and biometric risks that are in a deal relative to say market risks. Demand remains overall, very good. We feel we're a good competitor, we're in good. We have a good competitive position. You've seen us continue to win deals. And I would say that we win deals for some of the factors and many of the factors I've spoken about in the past. So it's not just about price. It's that expertise that we've spoken about at all levels, local, regional, global, it's around relationships and deal certainty and our structuring ability and the strength of our counterparty long term commitments to this business. And I think if you were to ask our clients, why they select us, why they choose to partner with RGA, I'm confident that what you'll hear are exactly the same things that I've just said, great partner, deep risk experts, creative and innovative, solution oriented. And we deliver on our promises. We execute when we say that we're going to execute. So pipelines are very good right across. We're very active, and we continue to win deals.
Daniel Bergman: Got it? That's really helpful. Thank you. I guess maybe then switching gears a little bit, just to follow up on your commentary regarding Alex's question on premium growth. Now that we're further into the pandemic, are you seeing any increased demand from primary life insurance companies, raising their reinsurance coverage? Given all the recent volatility and pressure on mortality results due to COVID? I guess, in other words, are you seeing or would you expect any uptick in session rates relative to recent historical levels? Is there any commentary on what you're seeing there would be helpful?
Anna Manning: Yes, so specifically with respect to session rates, well, we haven't seen a lot of movements in session rates. They've been relatively flat, a little up maybe. But remember, session is not, session rates are not the only levers of growth for us. So in addition to reinsurance session rates, the underlying market growth is a growth lever for us if you hold session rates flat, and then the third lever for us is really market share. Our ability to gain more of the reinsurance that's taken to market. And I'll tie this back to earlier comments around exclusives and bringing ideas to clients, our history and our success about being early in leveraging new ideas that translates into exclusive arrangements where all the reinsurance comes to us. So we're not competing for that business on a pool basis. So my caution really is around session rates are something to pay attention to, but they're not the only things that drive our growth.
Operator: We'll now take a follow up from Ryan Krueger with KBW.
Ryan Krueger: Hi, thanks. I just had, just want to clarify one thing. So I guess on earnings post LDTI. The removal of PAD combined with not much of a change in the pattern for DAC amortization. And the adjustments you made to retained earnings seems like they virtually have to make future GAAP earnings higher for some period of time post LDTI. I just wanted to confirm that I was thinking about that right.
Todd Larson: Yes, I think certainly in the early durations here, I think that's right, because we know, some of the existing PADs will start being released. And then because I mentioned on new business, we won't be setting up provision for adverse deviation. So the margins should be a little bit higher early on.
Operator: And we'll take another follow up from Mike Ward with Citi.
Michael Ward: Thanks for the follow up, guys. Just quickly, Prudential had a slide and don't worry, this isn't going to be about their mortality charge. They have a slide that they'd like to point to showing the longevity offset that they have that balances off mortality earnings. I was just thinking, I think this has been, at least since I've covered you guys, kind of like a characteristic that you've discussed at Investor Days in terms of your business model. And so we didn't really see it offset mortality during COVID. I think longevity was in UK pension area, but didn't really help as much. And maybe it's the age delta between your mortality and longevity in the US and such, but just wondering if you've thought about or discussed making some sort of shift to improve that hedge aspect in the future.
Jonathan Porter: Hi, it's Jonathan. Maybe I'll start, Mike. Yes. So I think if you go back to our Investor Day presentation in December, one of the areas that we see quite a bit of growth opportunity, and well, sorry, first of all, we see growth opportunities everywhere. But we see particularly strong growth opportunities in the US PRT space, which will be longevity risk. And I think we included a slide in there that showed our distribution of core biometric risks to the mortality and morbidity and longevity. And we do expect over the course of our five year strategy, to grow that portion of longevity. Now, again, the reason for the growth is that there's a lot of good margin there, there's a lot of good growth opportunity, but as an added benefit, like you've pointed out, we will see better diversification both from an earnings perspective and also a capital perspective.
Michael Ward: Okay, so it's sort of gradual over five years.
Jonathan Porter: Yes, I think so. I guess I can't, off the top my head I can't remember the exact number. It's in the slide. But I think our longevity, our proportion of our those biometric risks on longevity is I think, is roughly doubling give or take over the next five years as it grows at a faster rate than our other businesses are growing.
Operator: Thank you. And that does conclude today's question and answer session. I'd like to turn the conference back over to Mr. Larson, for any additional closing remarks.
Todd Larson: Well, everyone, thank you for your continued interest and support in RGA. And that concludes our second quarter call. Thank you very much.
Operator: Thank you. And that does conclude today's conference. We thank you all for your participation. You may now disconnect.